Operator: Good day everyone and welcome to Crane's First Quarter 2017 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to the Director of Investor Relations, Mr. Jason Feldman. Please go ahead sir.
Jason Feldman: Thank you, operator and good morning, everyone. Welcome to our first quarter 2017 earnings release conference call. I'm Jason Feldman, Director of Investor Relations. On our call this morning, we have Max Mitchell, our President and Chief Executive Officer; and Rich Maue, our Chief Financial Officer. We will start off our call with a few prepared remarks after which we will respond to questions. Just a reminder, the comments we make on this call may include some forward-looking statements. We refer you to the cautionary language at the bottom of our earnings release and also in our annual report, 10-K and subsequent filings pertaining to forward-looking statements. Also during the call, we will be using some non-GAAP numbers which are reconciled to the comparable GAAP numbers and tables at the end of our press release and accompanying slide presentation, both of which are available on our website at www.craneco.com, in the investor relations section. Now let me turn the call over to Max.
Max Mitchell: Thank you, Jason. As outlined in our press release last night, I am pleased to report that Crane's first quarter EPS was a strong $1.05 up 13% compared to earnings in the first of last year. Sales of $673 million increased 2% with 4% core growth, partially offset by a 2% unfavorable foreign exchange impact. Operating margins improved 130 basis points from last year to 14.3%, primarily as a result of solid execution, strong productivity, and good leverage on the higher volumes. Overall, I have added confidence in how the year is progressing. Most indicators we follow are improving gradually, end market activity appears to be picking up slowly, and sentiment among our customers and suppliers seems to be stable to slightly better. While we are incrementally confident even compared to Investor Day seven to eight weeks ago, we don’t want to get ahead of ourselves. Substantial portions of our business are short-cycle and can change quickly. We’re only a third of the way through the year and there were still have a fair amount of general economic uncertainty and geopolitical risk. Balancing these factors, we are raising the low end of our guidance range and we now expect EPS in the range of $4.35 to $4.55, compared to our prior range of $4.30 to $4.55. Turning to our businesses, Fluid Handling is off to a good start. And Rich will discuss our end market conditions in more detail. But I want to provide some highlights where we are gaining traction in the markets we serve. We talked a lot about growth initiatives over the last few years and I’m pleased with our results in the quarter with FX neutral orders up 10% year-over-year. While we feel that the end markets are beginning to recover. Our best estimate is that roughly half of this orders growth is related to share gain. In the Americas, we are securing wins with our new products from our triple-offset valves to line butterfly valves. We are also seeing benefits from our value analysis, value engineering initiatives have substantially reduced our products cost, helping us increase share by pricing more competitively, while also improving our margin profile. Our channel initiatives are also showing positive results. In Asia Pacific and China, we are seeing share gains on projects, particularly with our Resistoflex brand. Some local customers have had competing products fail in specific situations and we are one of the very few high quality alternatives for PTFE-Lined Pipe, where the science behind our extrusion technology matters. For the life and performance of the product, which is used in some of the most demanding and dangerous applications. And in Europe, we are gaining share with our Saunders brand, where new products we've launched are providing targeted pharmaceutical customers with improved insulation, commissioning and maintenance benefits, but they previously could not acquire. Our dedicated project management support is also a key differentiating reason why we are winning with Saunders. Overall order activity and fluid handing can be lumpy. A few large projects can swing the numbers one way or another or the other. But we are – we not only feel more comfortable with the condition of our end markets. We are executing well in the marketplace and winning. At Payment and Merchandising Technologies, we had a really great quarter with 20% operating margins and 18% core growth, which reflects not just market strength, but outstanding execution by our team. New product and application investment continues and remember our research and engineering focus and spending is as high as it is in our Aerospace and Electronics business. A combination of our technology advantage with our customers continued focused on productivity solutions, that's creating a number of interesting opportunities for us that we are pursuing in both the emerging and developed markets. There’s a lot of good news here. In the quarter, adjusting for foreign exchange, we saw growth across every single one of our payment verticals with the strongest activity in developed countries, retail market applications followed by transportation, financial services, gaining and vending end markets. This strength reflects both execution against our new product development strategy, as well as the strong underlying market conditions with customers increasingly willing to invest in productivity initiatives, where we have a compelling value proposition. To give a few examples, in the retail end market, we're seeing accelerating roll outs for self-checkout programs in both North America and Europe. Consumers are increasingly comfortable with self-checkout. And in many cases they preferred. Consequently, retailers are rolling out additional lanes of unintended payment solutions to save money and improve the customer experience. We've also been successful gaining share with a number of the largest retail OEMs globally. In transportation, China continues to expand the transit systems and unintended ticketing machines are used across these installations. We’re also winning fare collection projects in Europe and parking applications across North America and China. In financial services, we're seeing solid growth in developed market banking applications, in addition to traditional applications such as bank branch automation. We are participating in some interesting new applications, such as ATMs for digital currency. Yet another example, of where cash transactions are being automated and bridging the gap between cash and cash as parts of the system. In this specific application, ATMs are being deployed mostly in North America, where customers can deposit cash and have that cash converted into electronic currencies. We're very pleased with how the payment of business is performed. However, please remember, that the year-over-year comparisons get much more challenging as the year progresses. Last quarter and at Investor Day, we spoke to you about a very large retail project in North America and our excitement about this sizable and important win. And we also discussed the timing risk associated with this project. To-date project shipments have gone extremely well. Our project of this size requires ramping up our entire supply chain quickly, flexing our manufacturing capacity and coordinating all related logistics and our execution have exceeded my expectations. We are in nearly constant communication with the OEM for this project. At this point, it does look like 30% to 50% of the expected shipments for 2017 may move into 2018. However, we are not changing our guidance for this segment at this time. Given the strength of the underlying core payment end markets and our continuous focus on productivity, we expect a fully offset the impact of this timing shift and we remain confident in our full year outlook. Importantly, the end retail customer remains committed at this time. The move is just timing related. And we do expect the project to eventually be completed as originally envisioned. If it is as successful as we expect, we think it's likely that other retailers will move forward with similar roll outs over time. While the payment portion of the business drove the growth in this quarter. I do also want to mention some of the recent successes in Merchandising and Crane Connectivity Solutions. The team attended the NAMA One Show last week, the biggest trade show for the vending market. And they previewed the new media 2 product, which offers full motion video, a larger screen, and an intuitive user interface designed to influence consumer behavior and increase same-store sales. At the show we also previewed our navigator touch retrofit screen, creating an upgrade path for vending operators to add an improved user interface and the option for digital advertising to their existing installed base. In Europe, we've been gaining traction with our new [indiscernible] icon coffee machine with a simplified user interface and high quality brewer. And Crane Connectivity continues to make progress. Our installed base of connected machines capable of running digital advertisements from the crane media network increased more than 10% in the first quarter alone and we continue to add advertisers as well. In North America, we are adding cashless payment systems, thousands of machines each month, rapidly growing our installed base of more than 400,000 connected machines. And while the connectivity business has historically focused on North America, we have an early but strong and quickly growing presence in Europe. The European market is behind the U.S. in adoption of cashless and connected machines, with our experience practically creating this market in the U.S., we believe we are extremely well positioned to succeed in Europe as well. At Aerospace and Electronics, the year started as we expected with some incremental good news. We have talked previously about two large microwave projects that we were pursuing following our very successful participation on the Space Fence program. I'm pleased to report that we won the first of these. We will be providing radiating element tiles utilizing our proprietary multi-mix, multilayer, fusion-bonding technology for a large ground based radar project. This program is not quite as large as Space Fence, it's about half the size and given the project's timing we expect the financial impact to be primarily in 2018. Second project we have talked about, which will be a second planned installation of Space Fence has not yet received funding. We believe we are well positioned if a positive decision is made about funding, but at this time we don't expect a decision for at least 12 months or longer. Throughout the business, we continue to invest and we are continuing to support our customers ramp up of the newly re-engined narrow body aircraft now entering service, including the 737 Max and the A320neo, while also supporting the ongoing development programs for the C919 and the E2. We are well positioned on the next generation narrow body aircraft and we continue to see incremental opportunities for technology insertion into existing platforms. We're gearing up for the Paris Air Show in June, where we will again received a Supplier of the Year award from one of our largest customers, we hope to see many of you there. At Engineered Materials, resin prices have increased some – a given some styrene shortages, while this hurt margins modestly in the quarter. The good news is that the shortages appear to be related to unplanned supplier outages related to maintenance activities that have been deferred for too long. We do expect these shortages to abate in the coming weeks. As the side note, we think these unplanned outages are a general positive industry indicator for MRO business and Fluid Handling. We're also winning back some share and RV as planned. We've been extremely disciplined on pricing over the last two years while our competitors have in some cases been much more aggressive. However, sticking firmly to our value proposition of having the best quality and service levels in the industry, we are regaining some share as a result, and providing better total value to our customers. Overall, it was a strong quarter across our portfolio based on what we know today and barring any new economic surprises, we're confident in our revised guidance. Rich, let me turn it over to you for some additional financial commentary.
Rich Maue: Thank you, Max. I'll turn now the segment comments which compare of the first quarter of 2017 to 2016 as outlined in our press release and slide presentation. In the first quarter Fluid Handling sales of $240 million declined approximately 3%, reflecting our core sales decline of 1% and 2% impact from unfavorable foreign exchange. Fluid Handling operating profit increased 6% to $27 million, with operating margins of 11.3% that increased 100 basis points compared to last year reflecting strong operational execution and productivity, partially offset by the lower volumes. Fluid Handling backlog was $250 million at the end of March compared to $228 million at the end of 2016 and $263 million at the end of March of last year. After adjusting for foreign exchange, the backlog declined 1% compared to the first quarter of last year and an improved 9% sequentially. Adjusting for foreign exchange orders improved 10% compared to last year and 11% sequentially. In the Americas chemical market, we are seeing some improvement in the release of project spend for projects that have been our funnel but delayed for a long time and as a diverse set of projects from fertilizers to refrigerants. On the MRO side, we are seeing some emergency spot buys for unplanned outages, while as early and conditions could change quickly, the broader environment feels stable to slightly better. What we have described as the new normal of constant project release slippage maybe improving. And the pickup in activity does not appear to be driven by restocking. For U.S. refineries, it is still too early for us to have a great read on the fall turnaround season, but activity does look like it is improving. And North American general industrial activity is showing some positive signs from pharmaceuticals to having industries like pulp and paper and steel. In the Americas the only area that has been a little slower than expected is power. We're seeing good MRO activity but fewer opportunities related to projects. Overall, Europe remains relatively depressed and we expect it to be fairly stable on an underlying basis, but lumpy. We are seeing expansion projects not Greenfield, but projects increasing capacity and efficiency of existing plants. And Asia Pacific we had a good quarter with MRO strength across Japan, Taiwan, Australia, Malaysia, and Singapore, quoting is up and we are beginning to see a shift in quoting from MRO to projects. China is also improving with solid activity in the petrochemical and power markets. And within chemical good demand overall and some methanol related projects more specifically. The Middle East has steady MRO and a handful of petrochemical projects, but this is still one of our softest markets at this time with weak project activity. A quick note on Westinghouse, most of our current exposure to the nuclear industry is related to routine maintenance during outages for U.S. based plants and we do not expect any material impact to our results this year as a result of their bankruptcy. In commercial markets, U.S. municipal and U.K. nonresidential construction demand has been fairly good, although Canada continues to be a challenging market. Overall, we are feeling better about the Fluid Handling business based on what we have seen to date this year. However, until we see this level of activity sustained for another few quarters we will remain somewhat guarded in our outlook. Moving out of Payment and Merchandising Technologies, sales of $196 million increased 14% compared to the prior year. Core sales improved 18% with a 3% impact from unfavorable foreign exchange and a 1% divestiture impact. Segment operating profit of $39 million increased 40% from last year with operating margins up 370 basis points to 20%. The margin improvement was driven primarily by the impact of the higher volumes. As Max mentioned, there are tougher comparisons ahead with some timing risk, but we are very pleased with how this business has performed and with this – and with the outlook for the remainder of this year. Aerospace and Electronics sales declined 5% to $163 million. Segment operating margins improved to 19.6% up 30 basis points from last year and consistent with our expectations. Total after market sales increased 5% driven by modernization and upgrade programs and replenishments fairness. OE sales declined 8% given challenging comparisons from last year's Space Fence program and weaker business jet demand. The OE after market mix was 74% to 26% compared to 76% to 24% last year. Aerospace and Electronics backlog was $352 million at the end of March compared to $353 million at the end of 2016 and $419 million at the end of March of 2016. The lower backlog year-over-year primarily reflects deliveries on the Space Fence program. Engineered Materials sales increased 10% to $75 million. Operating margins declined 140 basis points to 18.7%, primarily as a result of higher material costs. As Max mentioned, we expect material costs to moderate as the year progresses. Turning now to more detail on our total company results and guidance. Our first quarter tax rate was 28.1% up slightly compared to 28% in the first quarter of 2016. The tax rate in the quarter was lower than expected primarily due to the adoption of new tax accounting standards, which requires companies to recognize the excess tax benefits of stock based awards as a reduction to income tax expense rather than the previous methodology, which recorded the benefit on the balance sheet. We're not changing our full year tax rate guidance at this time given that the impact of this change in any given quarter could move in either direction. In the quarter free cash flow was negative $6 million compared to a negative $29 million in the first quarter of last year. As Max mentioned we are raising our 2017 EPS guidance to a range of $4.35 to $4.55 per share compared to our prior guidance of $4.30 per share to $4.55 per share. Overall, we are pleased with how the quarter unfolded that remain cautious given we still have three more quarters to report. And external factors including geopolitical events are still driving a fair amount of uncertainty in our end markets. We continue to focus on what's in our control remain focused on our growth initiatives continue to drive productivity and execute with discipline. Operator, we are now ready to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Kristine Liwag from Bank of America. Your line is now open.
Kristine Liwag: Hi, good morning guys.
Max Mitchell: Good morning, Kristine.
Rich Maue: Good morning.
Kristine Liwag: Max, can you provide more color on the possible shipment deferral you mentioned in payment. Like, what is that entirely.
Max Mitchell: So of the large project that we referred to the large retail OEM project that we had explained at Investor Day. The end customer is just slowing up their deployment a little bit, and it’s the current forecast shows that 30% to 50% of the expected forecast in 2017, which we had originally communicated in terms of the full scope of the project is going to be deferred and slipped into 2018. And then as I just mentioned with the strength that we're seeing across all segments including retail outside of that particular order and with productivity initiatives that we're driving, we feel confident in our ability to offset that slippage and hold our guidance and our confidence.
Kristine Liwag: Can you just remind me the size of this order?
Max Mitchell: I can’t recall that we actually saying, it's half of the growth.
Rich Maue: Yes, we attributed roughly about half of the growth in the business to this particular initiative. So if you recall I think it was about 11% overall core growth that we guided you in 2017. But we give a rough range Kristine. We didn’t give the exact number.
Kristine Liwag: Okay, great. And then I'm…
Rich Maue: Just to add a little bit here and in terms of we actually see this as a positive not only, because of our ability to replace given the strength in the remaining portions of the business. But as we even think about 2018 and what that means to potential incremental upside in 2018, as projects potentially move to the right.
Kristine Liwag: So this was mean that – is this 2018 look like you could achieve your peak cycle margins of 22% in payment in 2018, if this contract moved over to 2018.
Rich Maue: Yes, I would hold off on providing guidance on our margin profile in 2018. Obviously, we're pleased with where we are in the quarter and in our full year margin target in the segment being 20.5% on a full year basis and we think we're tracking pretty well to that. But as we continue to see growth and strength in the segment, we leverage very well here and we would expect to see incremental margin improvement as we move forward.
Kristine Liwag: Great, thank you.
Max Mitchell: You’re welcome, Kristine.
Rich Maue: Thanks, Kristine.
Operator: Thank you. Our next question comes from the line of Nathan Jones from Stifel. Your line is now open.
Nathan Jones: Good morning, everyone.
Max Mitchell: Good morning, Nathan.
Nathan Jones: I'm going to speak with Payment and Merchandising here. I did some rough math and I will talk about $15 million to $20 million splits out into 2018. Is that about the right number?
Rich Maue: You’re referring to revenues.
Nathan Jones: Yes, yes.
Rich Maue: Order of magnitude.
Nathan Jones: So, and then I'd actually be interested in talking a little bit more about what you guys think the opportunity here might be over the longer term, if we take some of the timing issues out of it and think maybe over the next 5 or 10 years, I think, Max, in your prepared comments, you talked about thinking that other large retailers might follow suit with installing these unattended payment systems. If that goes the way you're thinking it's going to go, what kind of revenue opportunity we talking about just from this one channel of five a ten year period.
Max Mitchell: That’s a great – excellent question. I don’t have that – answers I'd like to today,Nathan I think, we'll be working through our start plan review of the summer and it's a question will be continued review of the team. We are seeing some increased share gain with other OEMs and also seeing increased deployments on a global basis with the retail self-checkout. So it's not just North America stories, not just with one customer. So we are seeing continued traction, as well as the growth that we're seeing across all of our end market segments. But, let us go back and playing that up and think about how we communicate that more intelligently going forward.
Nathan Jones: Is there any kind of – I'm going to push a little bit here, any kind of order of magnitude that you could think would be another 2 times what it is, 10 times what it is, 50 times, what it is?
Rich Maue: I think it's – again it's a little bit tough to be able to provide that level of guidance I think at this point right. These are programs that are designated to specific retailers and what their behaviors are on build out of new stores versus simply doing what they need to do to become more productive and more profitable in the near-term. So I think we're – overall we're encouraged with what we're seeing in terms of the number of lanes that are being added across the retail space. There are other OEMs that are starting to pick up as Max mentioned seeing the benefits in this regard. Overall we presented an overall outlook for core guidance for this particular segment in the mid single-digit range. Does that tick up a point or so, because of this kind of strength it's possible certainly in the near-term. But over ten years really hard for us to make a comment about that.
Max Mitchell: I think Rich makes good point. This business is always – this business is lumpy with projects, we’ve always seen that we've explained that in the past. We always described it as a mid single-digit growth business that consistently we guided stronger than that this year. It's important to recognize some of the project base business that can impact some of the other segments as well, and that can average out in total of the segment. So a little bit of caution not to overweight too much to fund, the retail opportunity alone.
Nathan Jones: Okay. No problem, I'm just in the slip one in on Fluid Handling. You're talking, I guess more constructively, about a lot of the different end markets here. Built backlog, order rates were up, yet you haven't really put that into your guidance yet. Is that just conservatism on your part? Or is there something other than just being conservative that's at the heart of that?
Max Mitchell: The way we think of this, there's still a fair amount of uncertainty in the end markets. We're very encouraged certainly about what we saw in the quarter. But it's one quarter and one quarter doesn't make a trend necessarily. It's playing out the way we expected, then when we started to communicate this frankly in the middle of last year, even through the fourth quarter and Investor Day. So we are encouraged, but one quarter doesn't give us that kind of confidence to say, we should really be thinking about a higher number here for the balance of 2017.
Nathan Jones: Did you see order rates improve through the quarter? And did that continue into April?
Rich Maue: Through the quarter.
Max Mitchell: We did see through the quarter. We can't comment on April.
Nathan Jones: Okay. Thanks very much. I’ll get back into queue.
Max Mitchell: You’re welcome Nathan.
Operator: Thank you. Our next question comes from the line of Brett Linzey from Vertical Research Partners. Your line is now open.
Brett Linzey: Hi, good morning everyone.
Max Mitchell: Good morning, Brett.
Brett Linzey: I just wanted to come back to payments growth, clearly strong in the quarter. I understand the full year guide was kind of half based – some of the retail wins. Was that the complexion in the quarter? Could you give any color?
Rich Maue: Yes, I think in the quarter the way to think about overall in the segment, if we were to exclude this project in the quarter. We were at about a mid single-digit growth rate, sort of very consistent with our guide for the full year. So again, showing some really positive signs mainly in the payment portion of the business, we did see some unfavorable comparisons in the Merchandising portion of our business, where we were down a bit. But expected given last year that we were up 15% quarter-over-quarter. So we had a very good year last year in the first quarter specific to the Merchandising portion of the segment. But overall even including that, if we were to take out the benefits of this one particular retail project we were at a mid single-digit growth rate.
Brett Linzey: Okay, are you guys talked a lot about the product initiatives and some of the customer segmentation push. It does suggest if that business does get pushed out that that mid single-digit rate does step up through the balance of the year to hit the guidance it's unchanged. Is there – is it simply tone that gives you that confidence. Are there bids outstanding that you're close to finalizing contracts on hand? Anything that helps you with the balance of your visibility?
Rich Maue: Yes, I think the first thing I would say is we didn't proactively go out there and change the segment level guidance of 11%, but I would say that given the push out that will be a little bit lower on a full year basis. The comments that we made specific to making up the impact of this moving to the right, was geared towards the profitability of the remaining portions of the business. So we think that we can make up the impact of the push out to the right as it relates to EPAs and OP. But from an overall revenue perspective, we would see this coming down call it 150 basis points on the top line or something like that.
Brett Linzey: Okay. All right, that helps. And then just shifting to aero, if I could, obviously the margin profile is very strong in an absolute sense. I would have thought that given that the Space Fence positive mix variance plus a little help in aftermarket, which looks like it's starting to pick up here a little bit on the provisioning side, you would have saw a little bit better margin improvement year-over-year. Is there anything programmatic or investments that we should be aware of that maybe impacted the quarter.
Rich Maue: I think just stepping back the way to think about this is – first of all the margin performance that we have in the quarter, it was right where I expected it to be when we started the year. So the print of 19.6% was right where I expected it to be. As you think about the balance of the year, our revenue profile here in the first quarter was $163 million. And I expect that – and we expect that to be up with $180 million range on average as we close the year out. So the incremental leverage on that is going to bring us the incremental margin profile that we expect to finish the year at our overall guide in that segment of roughly 22%.
Brett Linzey: Okay, great.
Rich Maue: Thanks, Brett.
Operator: Thank you our next question comes from the line of Matt Summerville from Alembic Global Advisors. Your line is now open.
Matt Summerville: Thanks, good morning.
Max Mitchell: Hi, Matt.
Matt Summerville: A couple questions first, Max, can you maybe talk about the M&A pipeline in the degree of actionability you're actually seeing there. And any update on multiples and kind of compare what you're seeing now in your pipeline versus maybe a year ago.
Max Mitchell: Finally, we continue to work, Funnel's full activity across most of our segments including Fluid Handling, Payment and Merchandising, Aerospace, multiples discussions of some opportunities starting to – we come in line a little bit for us in terms of our disciplined approach. I would say that there's some increased activity even over the trend for us versus some of the more strategic. So I feel really good about our activity, I feel really good about our continued process, our focus, our discipline. I would say that, we expect in the short-term to positively announce two smaller opportunities that are very close. So that should be coming shortly and we're working on some larger opportunities that are less certain and longer term in terms of any timing. But, so hopefully that frames up a little bit in terms of activity as well as actionability.
Matt Summerville: Yes that's helpful. And then any comment you would like to make in terms of just the Fluid Handling business. What you're seeing pricing wise versus input costs there. And what the outlook is for the balance of the year?
Max Mitchell: We remain – I think it shows in the results that we remain disciplined in pricing. We continue to – if anything now – come out of the impact, hasn't read through to a significant degree for us year-to-date we’re starting to see some hems reading through, we have got long-term agreements in place, we’ve got other offsets that we’ve been pursuing some of the commodity numbers that you would see over all arc reading through quite that same level, but it is going to read through. We’re putting price increases through. We have put some selective price increasing through, it’s holding. So I think we’re pretty good in this regard. And we feel good about what we've planned, what we’re executing to and we’re reacting to commodity pricing today. I’m not seeing anymore. In terms of the pricing competitiveness in the marketplace, I think there, it's the same. I mean, we – it's been challenging it continues to be its project by project terms of the opportunities. I don’t see any dramatic change one way the other.
Matt Summerville: Got it. And then just one follow up on Aerospace. Has there been any change on now that you are through basically four months of the year to your outlook, just focusing on the commercial side of the A&E segment. Is there any change in your outlook with either OE or aftermarket or is that still the as it was when you said at the Analyst Day?
Rich Maue: I would say no change at this point. Brett same as what we communicate at the analyst day we obviously our monitoring the end space up pretty closely but no change.
Matt Summerville: Got it thank you.
Rich Maue: You are welcome.
Max Mitchell: Thanks Matt.
Operator: Thank you. Our next question comes from the line of Jim Giannakouros from Oppenheimer. Your line is now open.
Jim Giannakouros: Hey, good morning guys. Sticking on payment, I’m sorry if I missed it. But is there – in you core, is there a vertical or two, I suspect the retail that carrying the day with respect your raised expectations specifically to core. Or is it your innovation, share gains from initiatives, et cetera, that derives that step up in your 2017 expectations.
Rich Maue: Yes, just to reiterate, I mean, from a core perspective, we actually would anticipate our initial guidance of roughly a 11% to actually abate a bit. So I’ll call it 150 basis points from what we initially communicated because of some of the push out that we would experience with this one particular project to 2018. But the good news that I am hoping that everybody is hearing is that we’re seeing strength across the rest of the vertical markets that we participate in specific to the Crane Payment Innovations business.
Jim Giannakouros: Right, the following that I mean – what I meant is within that core, take that one retail deployment aside. Is it broad-based or is there a vertical or two that’s contributing more than…
Max Mitchell: No, it’s broad-based. It runs across the verticals. It was a great quarter for us across the business, no one other at any big significant item that we would call out.
Jim Giannakouros: Okay, thank you. And you said the new win, half of Space Fence as far as revenues, again I apologies if I missed it. But given its size or your experience there, any reason to think that you can do better margins on this deployments versus what versus what you did with Space Fence? Or would it be a similar margin.
Max Mitchell: The impact that we have here that – for 2017 is that it’s going to be minimal impact for the 2017 year. As we move forward, we are going to continue to look at ways to be more efficient to improve the profile of the margins in that particular group or that particular opportunity. But similar to Space Fence, it is defense-related. Given what we have learned and our ability to be become more efficient in terms of what we learn we would expect to do. Hopefully a little bit better.
Jim Giannakouros: Okay, and then one last one if I may. You said an Engineered Materials input cost increase that you’re seeing you expect that to moderate at the year progresses. So if I got that right should margins also improve as the year progresses or volumes moderating that would potentially offset.
Rich Maue: So we’re seeing solid demand continue in that space. So frankly, the – from a volume perspective we tend the leverage very well in that business. We would expect to the points raised in the prepared remarks for the costs to come down a little bit, as it related to what we specifically experienced in the quarter, which was some supply capacity issues on behalf of the industry, the vendor base. So from that particular perspective, we would expect things to actually get a little bit better. That said to the extend we see oil and gas prices continue to move in the Northern direction, there could be some headwinds, and that’s what we guided to in terms of our overall margin target for that segment in the year. So short-term, we would expect it to abate a little bit, but overall reverting back to our overall margin target.
Jim Giannakouros: Thank you.
Rich Maue: Thanks Jim
Operator: Thank you. Out next question comes from the line of Ken Herbert from Canaccord. Your line is now open.
Max H. Mitchell: Good morning, Ken.
Ken Herbert: Hi, good morning. I just wanted to first start of Max, you highlighted the opportunity with an Aerospace and Electronics to potentially take some share across the number of platforms. Can you provide any more detail on either timing or within your – within the product lines, where specifically you’re seeing opportunity and what’s potentially magnitude could be.
Max Mitchell: Magnitude – so some of the opportunities. If you look at our solutions from sensing and the numerous sensing applications that we are able to provide solutions on, in some cases, there’s competitors that may not be performing as well and there are certain problems that we can solve. That’s the great example. Looking at our fluid business and some of the solutions we have there in terms of our lubrication solutions for the engines and some of the opportunities that we’re providing and looking at is another great example. Those are some things to come to mind most immediately.
Ken Herbert: Okay, okay. That’s helpful. So it doesn't sound like, near-term, anything necessarily, at least when I say near term 2017, it could be incremental upside, but over time just continues to build the base of the business. Is that the right way to think about it?
Max Mitchell: Correct. Correct. It's a steady healthy diet of opportunities that we are engaged with our customers looking at solutions beyond just the programs.
Ken Herbert: Okay. And then on your – the aftermarket growth within Aerospace and Electronics, the up 5%, is that consistently or can you parse out the military versus commercial?
Max Mitchell: I see, between military and commercial. So the upside of the 4.5% was – a good chunk of that was replenishment spares in commercial. We didn’t see as much initial provisioning, so it was replenishment spares as well as some modernization and upgrade benefits that we saw in the quarter. I would say, if you're trying to gauge between defense and commercial, I would say there was nothing meaningful from a trend perspective to take from the balance of that 5% number.
Ken Herbert: Okay, that’s helpful. And…
Max Mitchell: It probably lean to more strength in commercial than military though on the M&U side.
Ken Herbert: Okay, that's how it sounds from your comments, thanks. And then just bigger picture Max, as you look at, I mean really nice first quarter. Obviously, you made it clear that you don't want to get that wanted you front of your skies, there is clearly geopolitical risks, there’s timing on within Payment and Merchandizing. How close are you or how did you think about raising the full year top line guidance, as you did obviously on the EPS line. Was that something at all that you’re thinking about? Or maybe just a little bit on how you thought about that, because its looks like across each of the segments, I can appreciate the risk, but sounds like you’re communicating sort of incremental strength in across the board. Can you just help us of your though process there? Or maybe help with just from an expectations standpoint how to think about that?
Rich Maue: Yes, I’m not sure, if you ask me or Max, but I'll chime in here, Ken. So the overall, the 4% that we saw in the quarter was actually just a tad lighter than I would have expected or we would have expected in the quarter itself from a core growth perspective. And then the real strength from an orders point of view came in the Fluid Handling space beyond what I would say, we would have expected it was little bit stronger I think you heard that read through in the call. But again we feel like it’s too early say, this is going to translate into a continuation of that experience in Q2 and Q3 such that it give us enough confidence at this point of year to able the raise the revenue target. So of course we did talk about it and we did contemplate, but it’s just been feel like it was the right time at this point.
Ken Herbert: Okay, that’s helpful. Thanks a lot Rich and Max.
Rich Maue: Thanks, Ken. You’re welcome.
Operator: Thank you. Our next question comes from the line of Rob Barry from Susquehanna. Your line is open.
Unidentified Analyst: Good morning, it's [indiscernible] on for Rob.
Max Mitchell: Hi Mike, good morning.
Unidentified Analyst: Hi, couple of questions on fluid end markets. To what extent are you seeing projects that have been delayed or pushed right for awhile, starting to move forward. Or as a better activity or more deferred maintenance? And can you also give a little bit more color on our finer MRO activity. Thanks.
Max Mitchell: A little bit both on the projects. Again, a little too early to say that it's an ongoing trend of pulling in projects that have been deferred for a significant amount of time. But we did see some projects that we historically have seen maybe as continues to slip to the right little bit that will released. MRO generally as Rich through in detail by geography, is generally stable to increasing slightly. And what was the last one, Mike.
Unidentified Analyst: Just little more color on refiner MRO activity in particular.
Max Mitchell: Fine – no, I think there was some signs that we picking up, but we didn't see anything dramatic in the quarter itself. But just signals and signs that it's moving in the right direction.
Unidentified Analyst: Okay, thank you.
Max Mitchell: Thanks, Mike.
Operator: Thank you. Our next question comes from the line of Jim Foung with Gabelli & Company. Your line is open.
Jim Foung: Hi, good morning guys. Good quarter.
Max Mitchell: Hi, Jim. How are you?
Jim Foung: All right. So just following up on the Aerospace and Electronics, this new project that you won that's half the size of Space Fence. Is that also like a 12-month opportunity for you? And I guess, the other question on the other segment is you said that starting Q2, that you start $180 million kind of run rate revenues. Does that include the new project as well?
Rich Maue: So the project itself really won't begin to ship until – but will much later. And the start shipping of the above that 12 months. Yes it will be 12, 12 plus months, but not really beginning in earnings until 2018.
Max Mitchell: Because a run rate [indiscernible] this year
Jim Foung: Got it, so it doesn’t impact this year. Okay, and then the $180 million run rate, does that start in Q2 for you and then the margin should lift up the higher value?
Rich Maue: Correct.
Jim Foung: Okay. Very good. And then maybe two small opportunities that you're working on, can you give as the fact that you see possibly announcing very soon. Maybe can you give us a little bit more detail in that?
Rich Maue: Yes, I can't give a whole lot more detail in that Jim, other than that’s more detail that we've ever given in the past, quite honestly. Normally we don't comment at all, but we’re close on to smaller, tracking some others that are much larger, but longer term, I guess I could add that one of the smaller opportunities is in Fluid Handling, one of the smaller opportunities is in Payment and Merchandising.
Jim Foung: Okay. Congratulations on that. Hopefully, it comes through it.
Rich Maue: It’s early hold that, but…
Jim Foung: Okay. And then on this payment project, that retail and that gets 50% business gets 30% to 50% gets pushed out in 2018. Do we kind of see a margin pickup that’s greater than, I guess with the effect in your Investor Day because of the push out in this new retial business?
Rich Maue: Not materially, no. I wouldn't model anything that would suggest some kind of a margin pickup as a result from the specific program. But the fact that – I'm holding my – I mean, I think, implied that I'm holding my margin target for the and the revenue is going to be down slightly, yes, but that's not associated with this specific project having a lower or higher It has to do with really just the math on us being able to deliver the margins on lower revenues.
Jim Foung: Right, okay, got it. And just lastly, on the nuclear business, this question has bankruptcy, I mean it’s just like I guess I’m not really clear right now, Westinghouse is going to do when they made out of bankruptcy. They talked a little bit about just going to self design and may be going for some services, but do you see any opportunities in this nuclear business with them going for Chapter 11.
Rich Maue: Sure. As the AP1000 continues in China for sure but we continue to see opportunities whatever happens out of bankruptcy with that design on a global basis, we’ll be continuing to participate in to that degree, Jimmy.
Jim Foung: But do you see any kind of – are you kind of – do you get kind of any business opportunity that you can speak in kind of [indiscernible] bankruptcy?
Rich Maue: No, no, no, nothing like that.
Jim Foung: Right.
Rich Maue: Certainly though, we'll continue to analyze as we move forward, understand it's early days.
Jim Foung: Right. Okay. Great. Good quarter. Thank you.
Rich Maue: Thank you.
Max Mitchell: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Ryan Cassil from Seaport Global. Your line is now open.
Max Mitchell: Hi Ryan.
Ryan Cassil: Good morning everyone.
Rich Maue: Good morning.
Ryan Cassil: I thought you just touch on Fluid Handling. You mentioned some positive signs with respect to the fall turnarounds. Is that just early customer conversations? Or are there some more substance behind that comment?
Max Mitchell: Well, I'm trying to remember the specific comment on turnarounds. I don't think we actually commented exactly that way, Ryan, in terms of the fall turnaround actively. I think we're seeing some general wether it’s tied to a specific turnaround or not, we’re seeing generally a push to deferred maintenance, ends up in some certain surprises and that even outside of turnarounds, just in terms of, I think that's what we headed even at the start of pricing issues, you're seeing some outages occur that were more unplanned than planned. And that's a normal occurrence when we've been hearing about this deferred maintenance for so long that sometimes, it catches up with some of our customers and requires some shorter term downtime, and recovery and we see some uplift from some MRO activities. Slight, this isn’t a huge significant trend. Again caution, but just in terms of the general overall increase, project seem to be releasing a little sooner, MRO picking up a little bit, but that's the general comment. Did that help?
Ryan Cassil: Yes. So it sounds like, fall turnaround maybe a little bit stronger than spring turnaround. You’ve been more so than seasonally appropriate. Is that fair?
Max Mitchell: I don't have a good read honestly on this one. We can go back to you Ryan, and give you some more color.
Ryan Cassil: Okay, no worries. Another comment, I just wanted to clarify, you made – you said that MRO activity was leading into what sounded like more new project activity. Was that just in Asia-Pacific? Or was that a broader comment?
Max Mitchell: That was a specific comment to Asia Pac. We're seeing what has historically been, in the weaker environment, just MRO, we are seeing an inflection point there in project activity there that's being quoted moving through the funnel.
Ryan Cassil: Is that energy or more general industrial? Any color there would be great.
Max Mitchell: That was chemical, some energy, some power.
Rich Maue: I think even some refining.
Ryan Cassil: Okay great. And then last one for me, you mentioned the timing on the project in A&E and the margin of that project once it gets started, but is there any incremental spend in 2017 as you ramp up for that project or look to be competitive on these projects you're still bidding on that we should be thinking about?
Rich Maue: No incremental notable investments for this year. We're going to be – we're benefiting frankly from the investments we made in the past with respect to other large programs, the one we executed on last year. So we have the infrastructure and all that in place for us as we look to execute on this program as it starts towards the end of 2017 and really into 2018.
Ryan Cassil: Okay great. Thanks for taking my questions.
Rich Maue: Thanks Rayan.
Max Mitchell: Thank you.
Operator: Thank you. I’m not showing any further questions at this time. I would like to turn the call back to Max Mitchell, President and CEO for closing remarks.
Max Mitchell: Thank you operator and thank you all for your participation today. We’re pleased with our solid performance in the quarter. We're executing well, the markets are showing potential than we’ve seen in quite a while. And just as important as our recent performance, however, is how we continue to position ourselves for the future. As I think about the opportunities that lie ahead, I'm reminded of the late great Al Jarreau who once said I am distance runner, "I am a distance runner, a marathoner who literally and figuratively”. That captures who we think about running our business. 162 years behind us and we are focused on setting ourselves up for decades of further success that requires consistent, strategic execution which we have demonstrated time and again as well as continued investment for growth across the cycle in good times and in bad. We’re seeing the benefits of our investments and the best is still ahead. Thank you for your interest in Crane. Have a great day.
Operator: Ladies and gentlemen thank you for participating in today's conference. This does conclude the program and you may now all disconnect. Everyone have a great day.